Matthijs Storm: Good morning, and welcome to the Full Year '21 Earnings Presentation of Wereldhave. I am Matthijs Storm, the CEO of Wereldhave. I'm here together this morning with Dennis de Vreede, familiar to you, our CFO. We will take you through the highlights of the full year '21 results and I'd like to mention that, already, as of now, if you have any questions, you can put them in the text box in the bottom of your screen. Please type them in. You can start already now. We will discuss all the questions at the end of the presentation. Let's start on page number 3, with the key messages for 2021. First of all, the direct result per share came out at €1.88. This is above the guidance of €1.80, €1.85 that we provided with Q3, as you might recall. This is mostly due to strong rent collection in the fourth quarter, but I think a very nice achievement from our teams. For the dividends, we have a really positive message, I think, today. Last year, we paid €0.50, that was lower dividends below the payout because of COVID. This year, we are paying more than double, €1.10 per share. And so I think that is a very strong and also a very confident message. I think we can do this also because we now have a very comfortable balance sheet.  Thirdly, property valuations. They are stabilizing. In earlier releases we have already hinted towards that, our core markets are the Netherlands and Belgium. In Belgium, property values have been stable for a long time. In the Netherlands, we have seen many quarters with declining property values, but now, I think for the first time in a long time, we've seen stable valuations also in the Netherlands, which I think is an encouraging sign. As a result of that, our loan to value is now down to 41%. If I look at the broker estimates compared to other companies to peer companies, this is one of the lowest leverage ratios in the industry. Also, from a debt to EBITDA perspective, we are in a good position. We've delivered two full service centers in 2021. We'll get back to that later. We will be delivering another three in 2022.Next to debt, from a consumer satisfaction perspective, we measure that through the NPS, the Net Promoter Score, which in the real estate industry is not that common. There is one peer of us, peer company who is also reporting this metric for a number of centers, but of course, in the service industry, this is very common and we think also for real estate companies, particularly in the retail, this will be increasingly important. Our NPS increased to plus 25, which I think is great work by our country teams and also the customer experience team. Last but not least, our outlook for next year, as you might recall, when we launched our new strategy back in February 2020, we mentioned that the direct result per share for 2022 would be the bottom, and that is still the case and the good news is that bottom will not be at €1.40, €1.50 but it will be at €1.50, €1.60, we'll get that later about the details.  If you look at the financial highlights for full year '21, I'm not going to talk you through all the numbers, but I think most importantly, the direct result per share €1.88, it's lower than last year, but that is mostly the result from the disposals that we have made, three in the Netherlands and four in France. If we then look at the like-for-like rental growth from an operational perspective, very strong positive in France and Belgium, of course, because we had fewer COVID provisions than last year. In the Netherlands, there is a small negative but please also recall that the COVID situation in the Netherlands was a bit more severe in '21 than in 2020.If we then go through to slide number 7, also from an occupier from an operational perspective, what is important to notice is that our occupancy rate increased from 95% in full year '20 to 96.2% this year. Also, if I compare this number to some of our peers, I think, we are doing an excellent job both in our core markets, but also still for the last remaining two French assets. From a leasing perspective, we signed many new leases, as you can see, 2.8% above ERV. This has been a trend over the last couple of years. There's still a negative number versus MGR, but this negative number is getting less negative and we think as of 2023, we will be for the Netherlands in positive territory again, for Belgium, we're not in positive territory for full year '21 as a whole year, but I can mention that for the first leases we're signing this year, we're already back strongly in positive territory. Then on slide number 8, the first two full service centers, and you can see that we're excited about that because this is the whole concept. This is our strategy. We're turning shopping centers into full service centers. And then of course, it's important to measure the success of that contract. What you can see here on the left is that the first two full service centers are showing very strong uplifts on leasing versus MGR and versus ERV and in addition to debts, at the bottom left, a total property return of 6.1%. This is an unlevered return. And as you might recall from the strategy that we presented back in 2020, we want to achieve an unlevered return for our transformations of over 6% where you can see the first signs for these two centers are very positive. I think, for us, a very important slide. With that, I'd like to hand over to Dennis, who will take you through the rent collection and the financials.
Dennis de Vreede: Thanks, Matthijs. And I am at page 9. As you can see on the left hand of the slide, you can see that our footfall recovered quite strongly in the second half of the year, the effect in the Q4, we had an 11.3% uptake. For the full year, it has been slightly negative, but we do see that once the COVID restrictions have been lifted, we see a big uptick in our footfall numbers. On the rent collection side, on the right-hand side of the slide, we have been focusing again, like we did in 2020, on rent collection. We've made tailor-made agreements with all of our individual tenants and it came out at a strong 97%. If I move on to a little bit more details on rent collection in the next two pages, pages 10 and 11, I would say here on this slide you could see that we have invoiced about €186 million in 2021 and we received, due to our strong rent collection efforts, about 94%. As a comparison last year 2020, we only collected 86% of that. On the right hand side, you could see the breakdown of the open payments, which is in total about €12 million at year end. And on page 11, I've detailed that a bit more out for you, like I did last year. So if you look at that, you see the €186 million rent invoiced on the left hand side. You can also see here that in total, we have €10.6 million to be collected, whereas we said €7 million of that has been credited for rent discount, €3.6 million we have been providing at year end in our doubtful debt and the €1.2 million is what we believe we can more easily collect. That is not to say we're not going after the €3.6 million but this is how we have been accounting for it. On the COVID-19 impacts, I can be sure it was less impactful than it was in previous year, in 2020. 2020, we had about €0.47 impact on our EPS. In 2021, we've been estimating this about -- to be about €0.29. So we do see less impact that has been a little bit affected by some accruals in 2020 which we over-provided and were released in 2021.Lots of activity in the Benelux. Matthijs already referred to that. Also here, I'm not going to read this aloud to you. I think it speaks for itself. We had about 84 deals in Belgium and about 88 leasing deals in the Netherlands. Belgium signed above ERVs, so proving basically also our valuations there. And I think, on the footfall side, they've been doing quite well. On occupancy, a 2.8% improvement in Belgium on the shopping centers. In the Netherlands, I think, what is worth to mention and we already released that with a press release back in December, we signed a strategic deal with Albron, our F&B partner, to start off with about seven locations in the Netherlands and we do see potential for more locations. Also in the Netherlands, I think it's worth to say that although our number of visitors decreased, about 6.7%, it is better than market where we have seen that the market was minus 12.6%.On the next page, on the direct result, Matthijs mentioned already, we have seen a decline of course from the €93 million to the almost €89 million which is equating to the €1.88 per share, mostly due to the disposals, four assets in France, we sold of course, at the end of September and three assets in the Netherlands. And if you look back on the right hand side of the slide, you could see that Belgium and France have done quite well in 2021. Again, there, we do see that there is less impact of COVID in '21 versus 2020. So that does explain it. And obviously, you see also the interest positively coming out as a result of the proceeds we have used to repay a lot of our loans. Cost efficiency, is still something we keep focusing on very much in throughout the company. I've mentioned a few examples here on this slide. I think, mostly the phasing out of France, where -- which we used to close our office in Paris, we have let go most of our employees and outsourced all the activities, the remaining activities for the two remaining centers we operate in France. And for '22, I would say, we will be focusing again on some cost reductions in total. Outlook '22, on page 15. We said already in the highlights that we have improved our outlook from €1.40 to €1.50 per share to €1.50 to €160 per share. I think that is safe to say, at this moment, that we can confirm that. Obviously, this is excluding any severe potential COVID impact. Why did we -- were we able to move that up a little bit higher, I think we do see some potential for more cost savings, we've been underestimating a little bit our ERVs and we see that our forecasted ERVs, our Blueprint ERVs, a little bit higher. And of course, we -- and I'll get back to that in a minute. We've been moving our target LTV up from 30% to 40%, to 35% to 40%.Dividend per share is then for 2021, we will be proposing at the AGM €1.10 per share, and for '22, we will be moving towards again our dividend policy, which is about 75% to 85% of our direct result. What do we expect after 2022, we've been mentioning already a few times before and I'd like to reiterate that we are looking towards a 4% to 6% EPS growth for the years after 2022. Not to go too extensively in detail here, but this is where we see this coming from, we've received a number of questions. Obviously, indexation based on inflation will help that. We do see additional rental income coming out of the new F&B food leisure, which is expected to grow above inflation, which is offsetting the under inflation growth of fashion and of course, we do believe that finishing those full service centers, two we done already in '21, three more to go in '22, will contribute to that growth. We have not included here, any potential additional growth like acquisitions of -- or plant extensions. We also have a residential pipeline we are still yet to benefit from, that is all not included in this growth number. With that, I hand it over back to Matthijs for the LifeCentral strategy.
Matthijs Storm: Thank you, Dennis. And we're continuing in the leads on the LifeCentral strategy. On the left hand side, you can see a couple of nice pictures, for example, the healthcare in Presikhaaf in Arnhem in one of our full service centers. Indeed, we've now completed the first two full service centers. And as you can see in the chart at the bottom, our mixed use percentage has increased a little bit over the last two years. But you can see in the target for 2022, based on our business plans and our budgets, there will be a significant increase this year in 2022.We're very proud of the first completed full service center, Presikhaaf in Arnhem, one of the larger Dutch cities on the east side of the country. As you can see on this slide, you can see it in the pictures, it's not only traditional retail anymore, it's much more than that. You know our philosophy, we're not going for bigger, it's better, which used to be the one-liner. In the shopping center industry, we believe, in the primary catchment, we believe in local, the convenience retail of our combined with a lot of other services. In this case, for example, a large health cluster with a dentist, these are clinics, pharmacy, blood bank, but also a gym, facilities like The Point, Play & Relax, but also services like Connect, which is a service that we offer to our retailers to have their goods delivered to people's homes in the direct vicinity of the shopping center. The combination of these tangible and intangible elements makes this a full service center. In this case, and I think that's really important. We've reduced the traditional retail by 4,000 square meters and you might recall from our strategy presentation back in February 2020, this is our -- one of our core beliefs that we should, on the one hand, add new services, but on the other hand, also reduce the traditional retail to create the right balance again. If you look at the results so far, the bottom of the page, footfall plus 24%, very strong, NPS, the Net Promoter Score, went up from minus 30 to plus 10. And also importantly, as you might recall again from the strategy presentation, we think full service center should trade at a lower yield, a lower cap rate in the valuations than a traditional shopping center, Presikhaaf enjoyed 27 basis points of yield compression in 2021, another sign that also that part of the strategy is working. And on page number 20, the Vier Meren in Hoofddorp, there, the construction is in progress. Also here, very importantly on the bottom right, we already received actually a little bit earlier than we anticipated, because we only just started constructing this Full Service Center, already 66 basis points of yield compression on this asset. So again, evidence that the yields, the cap rate of Full Service Centers, because they have a lower risk profile and a better balance between traditional retail and other services should be lower than for traditional shopping centers. Then on page number 21, De Koperwiek in Capelle aan den IJssel. If you look at the results at the bottom, also here, the footfall plus 10% and an NPS increased from minus 28 to plus 22 last year. So also encouraging signs. Then about Full Service Centers, the concept, page number 22, important to realize now we have completed the first two Full Service Centers. What is the concept? In a very simple way, there are tangible elements, as you can see on the left-hand side, they're still traditional retail, but it's much more centered around what we call convenience retail. There is mixed use, you can see the examples, and there our facilities like the Play & Relax or our service desk, The Point. There are also intangible elements that you cannot see when you walk through the shopping center, like Consumer Services, the Last-mile delivery, Connect that I just mentioned. There are also tenant services, UpNext, ship from store. This is also a service that we announced in the press release that Dennis just mentioned, at the end of December, where we offer the retailers an opportunity to have goods delivered from their store to people's homes. Lastly, also important, the connection with the local community. I think we've been doing this for a while, but it's also an important element of the Full Service Center concept. In order to assess the progress that we are making, of course we are mentioning the Full Service Centers that we are completing, but we are also working on other centers to transform them and we've introduced a scorecard. Every center will be ranked between zero and 100 points, and you can see on page 24, if you have a little bit more time later to look at the details, you can see in this example how we go from 26 to 114 points. So actually possible to score above 100 points and all the tangible and intangible elements of the Full Service Center that I've just described are part of basically the waterfall that you see on the right-hand side. This way, we can track where we are in the transition, in the transformation from shopping center to Full Service Center. The yield compression after LifeCentral, on page number 25, again, I mentioned the examples of the Vier Meren in Hoofddorp and Presikhaaf in Arnhem. We are banking on roughly 60 basis point yields compression, post-completion of all the centers. So it's important to track also the progress on this side. Page number 26 you can see what we've achieved so far. You can see the Vier Meren and Presikhaaf on this slide but you can also see some other centers like Kortrijk and Sterrenburg where we already enjoyed some of that yield compression. As you also notice, on the previous slide, there is still a lot more to come. Then on the residential side, we've been showing this slide a number of times. It takes time, of course, to get projects approved, to receive building rights from our partners and also to get construction started, but I think it's a very promising plan. What's important to mention here is that we've also sold this year the ground rights for our Tilburg developments, 150 units and we've started to research in Capelle aan den IJssel at De Koperwiek, the center that I just described for 100 to 150 units. So the pipeline is growing, the first gains because that could be a question from you, when can we expect the first gains. It will not be this year, that will be as of 2023.Then on the valuations, page number 29. We've mentioned this, stable valuations. You can see for our core portfolio in the Benelux, it's minus 0.1%. I don't think that needs any further explanation. What's important to mention is that if you compare our valuations to the markets, and I think this is mostly important for the Netherlands, we are comparing to the MSCI retail index. This is a common used benchmark for the market. You can see that on the right-hand side from peak to trough, we've now revalued our Dutch assets by minus 42% compared to minus 18% for the market. I'll let you draw your own conclusions. We call it realistic valuations. With that, I'd like to hand over back to Dennis for the capital allocation.
Dennis de Vreede: Thank you, Matthijs. On page 32, you can clearly see that we have been able to significantly reduce our LTV since the end of 2020, from almost 47% net LTV to today, 40% LTV. I think that is a reason for that, it's obviously that we have been able to sell the four assets in France as well as the three assets in the Benelux in the Netherlands and that is ending the sales process in the Benelux, but we have, of course, still two assets in France which we will be looking forward to sell, but obviously against the right price. We have a goal to reduce our LTV below 40%. We had an original target of 30% to 40%. I think with what Matthijs was just saying and showing to you by the stabilizing valuations, we've been moving that go up from 30% to 40% to 35% to 40%.I think we can do that again. Valuations are stabilizing after the significant revaluations. Compared to peers, compared to the market, our LTV is already on the lower side and I think it will allow us obviously to execute our dividend policy in a sustainable way.  Like I said before, we start to move towards again our dividend policy of 75% to 85% and obviously, we also want to show the additional growth in the next couple of years of 4% to 6%.Our debt profile obviously has significantly changed after the sale of those seven assets in 2020. As you can see here, most of the parameters have been improving due to that sale, you can see that on the bottom side of the slide with the net LTV jumping out there at 41%, but also our debt maturity has moved up a little bit due to the €202 million of new financings and extension we arranged basically in 2021.And if you look at the debt mix and expiry profile in the next slide, this is where you can see we have relatively low maturities in '22 and '23, '24 obviously, that is where we have a big refinancing to go which is mostly our corporate RCF, and we have already started discussions with our core banks to refinance debt. So in the course of '22, early '23, I expect that we should be able to refinance debt. If I just move on to the next slide, which is basically the slides on our ESG, I think this slide number 36, proves already what we are doing on ESG. It's high on our agenda, we really believe we want to maintain our leadership position and I think these benchmarks are telling that story already by themselves with the GRESB 5-star rating, I would say as one of the most important benchmarks. I think we have a clear and an ambitious ESG strategy, which we already announced two years ago. The main commitments again, the GRESB 5-star rating with next to debt, we look at a better footprint. I think that is translated into carbon emission -- reductions of 30% by 2030.The better nature, so we keep improving our assets to adapt basically to heat stress and extreme waterfall and then, of course, better living, the third pillar of our strategy and we basically measure that through the 1% of our NRI in total that we spent -- invest each year in improving the local communities where we work in. We keep making what we call Paris Proof road maps for each of our assets by the end of this year. Also, as part of our management agenda. We should be completed, then we have Paris Proof road maps for each of our assets. What does it mean? It means that we are looking at measures to take investments we're making our assets to reduce carbon emissions by 30% by 2030 and even further down to net zero basically by 2045 and what we try to do is to look into any of our transformations where we transform a traditional asset into a Full Service Center, extend to incorporate those measures to fulfill those goals. With that, I hand it over to Matthijs for the final slides on the management agenda.
Matthijs Storm: Yeah. Thank you, Dennis. The management agenda, what you can see here is the management agenda we -- we've been presenting so far, 2020 and 2022, even though our ambitions and our LifeCentral strategy is a plan that runs until 2025, we set so more shorter-term goals. As you can see here, and what you can see with the Harvey balls on the right-hand side is actually we fulfilled the majority of those goals. Of course, it's still important to fulfill the last ones, we thought it was time to also set some new ambitions and that's what you can see on page number 41.I think some of those are not surprising because we've mentioned them earlier, the 4% to 6% growth in earnings, the compounded annual growth rate that Dennis was just talking about. As of 2023, I think for shareholders, that is still good news that this is the last year of earnings decline and then we will show the growth that we're committed to do so. Over 8% total return, we have a target of 6% unlevered IRR with the leverage ratio that we are targeting, we should achieve more than 8% total return on our assets from a leverage perspective and that should also translate then in similar performance for the shares. Interestingly, if you compare debt return, potential return with the EPRA Europe Index over the past 20 years with that performance, the stock would have been a outperformer. Thirdly, successful Full Service Center transformations that was on the agenda already. And of course it will remain on the agenda, by 2024, we want to have transformed nine assets into a Full Service Center started another four transformations, maintain the 5-star GRESB rating, as Dennis just mentioned, increase the NPS even further to 31 which is an ambitious number. I encourage you to look up the NPS for some service sector companies but we're coming into a territory where every point increase becomes more challenging, but we are ambitious and we're setting the target. And last but not least, I think the final string off the financial transactions that we have been taking out of the last two years, so the last two assets in France. Again, we've mentioned this in the press release and in a couple of other things, we realize that the value loss on the sale of the four French assets was a significant one. We still believe it was absolutely the right decision because it repaired our balance sheet and it enables us to kick start the transformations. Having said that, there is no need at all to sell the last two assets at a discount like that. So that will be much lower if any. Last but not least, the balance sheet derisking, LTV target of 35% to 40%, Dennis has already mentioned that. So that is the new target and that is the target that we will achieve by the end of 2024 for sure. With that, I think we can go into the Q&A.
Matthijs Storm: Receiving the first question, on those remaining two assets, when do you expect to sell the two remaining assets in France and what pricing do you expect to achieve? It's our ambition to sell those last two assets in the next two years. So that could either be this year or next year. Please recall we are working on a number of projects, particularly in Meriadeck in Bordeaux on an F&B extension, which is a nice 6% yield and is already mostly pre-let in itself. I think it's a good investment, but it will also drive better performance of the entire shopping center, but we're now with construction in progress, so I think that is also having an impact on the timing of the disposal. Cote Seine in Paris is a more a stabilized asset. But again, we're looking for the right price and certainly not 40% discounts to the latest appraisal value, if any discount at all. Dennis, you want to...
Dennis de Vreede: Yeah. Next question coming up from Steven Boumans from ODDO. Could you please elaborate where the 1.5% rent to income above inflation '23 to '26 will come from, I can imagine some closures during transformations, is reopening these centers included here. Good question, Steven. Thank you. And to start with the latter part of your question, yes, that is included. This is the overall growth that we are expecting. Where does the additional 1.5% rental income come from. Well, again, like I said in the presentation, it will come from the expectation that food, F&B, our leisure activities. Basically, the new activities we have been adding and are adding to our portfolio, that will start to show some growth. We've been taking quite some, I would say, package deals in 2021. We have been concluding with some major tenants, where we've seen some rent reductions, but then on the condition that we will be extending those leases for the next 10 years, basically, in the Netherlands. And we start -- we'll start to see some growth coming out of that as well, above that inflation and also, we do expect in the next two to three years that we will be making some acquisitions, which are not included in this number, mostly what we're looking at would be equity debt transactions, obviously, so to not impact our LTV too much but needs to be incremental to our portfolio. And then lastly from '23, we do expect that we will be benefiting from additional income from the residential program that we're rolling out. Then I forgot even to say that we keep pushing on our cost levels which I would say will also contribute to that same number.
Matthijs Storm: Next question comes from Francesca Ferrangina, if I pronounced your name correctly. What is the like-for-like growth expectation implied in the 2022 guidance. That's a very detailed question, but thanks for the question, Francesca. I'm looking at Dennis.
Dennis de Vreede: I think for Belgium, we do expect a positive, that's included in the number, a positive like-for-like growth number. For the Netherlands, we have seen that for the last year, for '21, we've seen a slightly negative number. But then again, I would like to refer back to the comment I was just making, we have been taking a lot of pain already from the top 10 tenants by concluding package deals with them, which should contribute and obviously to a more positive towards a positive like-for-like number. So that is what I can say about the 2022.
Matthijs Storm: I'll take the next one from Steven Boumans again. We heard most retailers were not compensated by the government when they had to close shops during the last lockdown December, January. I think you're referring to the lockdown in the Netherlands, Steven. The average retailer already has large liabilities due to COVID, how do you see the risk for bankruptcies in your portfolio for 2022?Thank you for the question. I think it's a mix when you talk about compensation, Steven, I think in the Netherlands, the compensation for the smaller retailers is quite significant with the [indiscernible] difficult to translate. I think it's a subsidy for the fixed cost that the retailer has or a compensation basically for the fixed cost, but for the larger retailers, for a large national chain debt compensation is much more limited. And I think also when you look at potential bankruptcies, this is the way we look at it. On the one hand, the larger chains, they didn't get that much support over the last years. We already had quite some bankruptcies in the Netherlands over the last four to five years. If I look at our blueprints, there are probably one or two more to come, but they are already in our blueprints out of the asset and out of the portfolio, so we will replace them. So that doesn't impact our business plan. If you look at the smaller independent retailers, yes, there might be a flower shop here or a local coffee shop there, but those are exceptions and we can deal with that. So I don't think that is going to have a material impact on our occupancy rate.
Dennis de Vreede: Another question coming in. Do you consider re-installing quarterly dividend payments instead of the current annual payment scheme? Thank you for the question. We have changed the quarterly dividend payments two years ago when COVID hit us unexpectedly. So for that year and for this year, it will be an annual installment. I think it's fair to say that with, let's say, growing expectations of our EPS but also growing expectations for the related dividend payments, we will be looking into that again. We will also be sounding with a number of our shareholders to see if that's interesting. So I can only say that we will look into that.
Matthijs Storm: Question from Herman van der Loos. Is the Belle-ile extension to be done or not? It's not included in the guidance, right? Could you repeat what is your new target LTV for guidance purposes? So it's basically two questions. Thank you Herman for asking the questions. You're right, Herman, on Belle-ile in Liege, we announced two years ago, we would do two phases, the refurbishment phase and that has been completed, but also an extension phase of the shopping center. The short answer to that, Herman, is we are still working on the plan. You can imagine because of the change in construction prices because of COVID and also because of the change in retail environment, we are re-studying the project, the costs and also the tenant mix. I think it's still a very encouraging project with a nice return potential for Wereldhave, but of course it has to be the right project and we are still in a position that we can change the tenant mix and also have some impact on the construction price. So that's what we're working on at the moment. The new target LTV, I missed, can you quickly skip back [indiscernible]
Dennis de Vreede: I don't think we can. We cannot.
Matthijs Storm: Your new target LTV for guidance purposes. Maybe, Dennis, you want to take that part?
Dennis de Vreede: Yeah. The new guidance for our LTV target, Herman, is 35% to 40%. We have been saying 30% to 40%. What has changed over the last two, three years, first of all, obviously we've seen that proceeds of our disposal program, we're coming out lower as we all know than we were expecting two years ago. Next to that, we see that with a 41% today, we're starting to be at the lower end of our peer group, which is I think also getting closer to the 40%. We also see that the proceeds for the next two assets we will be selling in France in '22 and '23 will -- should move us below the 40% and the 35% to 40% gives us also ample room to execute on our dividend policy, the 75% to 85% policy starting from 2022 and the annual growth of 4% to 6%. So with stable valuations, we believe it is safe for us. We feel comfortable by moving that a little bit up to 35% to 40%.
Matthijs Storm: Then another question from Herman. How to do serious cost cutting without cutting the two separate listed structures. For the viewers who don't know, we have a separate listing in the Netherlands, Wereldhave N.V., but we also own our Belgian activities through a 67% stake in Wereldhave Belgium, a separately listed entity, especially now that the asset base is much smaller and only into countries. Well, I think, Herman, what we've shown is that we can do cost cutting without touching the listed structures and we're still working on that and I think, Dennis has already been guiding into further cost savings for '22 and also '23. For the moment we have this dual listing structure. We are also reaping benefits from that, not at the moment but for potential acquisitions, for example, in the future, we could well also use as I've said also in 2020, the Belgian listing. You are Belgian. You know that the transfer tax in Belgium is high. So, ideally, we will do a share deal. And in that case we can well use our Belgian listing.
Dennis de Vreede: Yeah. Next question from Mr. [indiscernible]. When do you think we could expect to have, again, a dividend over €2.50 per share? Thank you for the question. And I think you are referring back from a few years ago when we were over €3 per share in terms of dividend. Well, I can only say, we have been working from a very low base, which was the €0.50, of course, in 2020 when we were hit by COVID. This year, 2021, we will be more than doubling our dividend to €1.10 per share. For the good readers of you, if you look at our guidance for next year, the €1.50 to €1.60, you can see that there's between €1.13 and €1.25 or so dividend expectations for '22. So that's a long way from the €2.50 per share. I think we need to balance out our LTV which we like to push a little bit lower under the 40%, between 35% to 40% before we can consider of even promising, I would say, more dividend growth in the 46% that we are doing today.
Matthijs Storm: Maybe a small addition to that, I think, from my perspective, it's not only about the absolute height of the dividend, but it's also about the quality of the underlying earnings. I think, in the past, there was much more volatility in the underlying earnings. The reason why and Dennis has just mentioned that, we can give guidance as we have been doing one year out, two year out, there's not that many companies who are doing that, also tells you something about the quality of our underlying earnings. We've sold some low-quality assets in the Netherlands in Etten-Leur in [indiscernible].In those assets, we had a high volatility of revenues. Those are out now. So they were high yielding, they are out, but I think that is also positively impacting the quality of the underlying earnings. Plus, I think the mix that we're introducing in the shopping center is the new tenant mix with a lot of non-traditional retail is much more stable than we had in the past. Again, that is why we can provide the guidance as we are doing so. I think with that we've come to the last question. I'd like to thank everyone for dialing in. I would like to thank everyone for asking the questions. Again, as you could have heard, we're excited about the results itself, but also about the prospects of our first Full Service Centers. I would encourage you to contact our Investor Relations, Jeroen Piket to show you some of those assets in a property to hopefully when all the COVID restrictions have faded. And some of you, we will also see during our upcoming roadshow and hopefully in the future also, in that perspective, in a physical way again. I'd like to wish you a good day and thank you very much.
Dennis de Vreede: Thank you.
End of Q&A: